Operator: Good morning, and welcome to the H.B. Fuller third quarter 2008 investor conference call. (Operator Instructions) Management in attendance on today's call include Michele Volpi, President and Chief Executive Officer, Jim Giertz, Senior Vice President, Chief Financial Officer, and Steven Brazones, Director of Investor Relations. At this time, I would like to turn the meeting over to Steven Brazones. Sir, you may begin.
Steven Brazones: Thank you, [Sandra], and welcome everyone. Today's conference call is being webcast live and will also be archived on our website for future listening. In addition, this call will be available for replay approximately one hour after we are finished with the question-and-answer portion of our call. Before beginning, I would like to inform everyone that certain matters discussed during this call will include forward-looking statements as that term is defined under the Private Securities Litigation Reform Act of 1995. Since those statements reflect our current expectations, actual results may differ. In addition, during today's conference call we will be discussing certain non-GAAP financial measures, specifically operating income, earnings before interest expense, taxes, depreciation expense and amortization expense, or EBITDA and return on gross investment, or ROGI. Operating income is defined as gross profit less SG&A expense. EBITDA is defined as gross profit less SG&A expense plus depreciation and amortization expense. And ROGI is defined as trailing 12-month gross cash flow divided by gross investment. These measures should not be construed as an alternative to the reported results determined in accordance with GAAP. Management believes the discussion of these measures is useful to investors because it assists in understanding the operating performance of the company and its operating segments as well as the comparability of results, and it provides insight into the ability of the company to fund such things as debt reduction, acquisitions, and share repurchase programs. The non-GAAP information discussed today may not be consistent with the methodologies used by other companies. All non-GAAP information is reconciled with reported GAAP results on the last pages of this presentation. For more information, please refer to our recent press release, quarterly report on Form 10-Q and annual report on Form 10-K filed with the Securities and Exchange Commission, both of which are available on our website at www.HBFuller.com under the Investor Relations section. I will now turn the call over to Michele.
Michele Volpi: Thank you, Steven. Good morning, everyone, and thank you for joining us. About two weeks ago we released our preliminary results for the third quarter and revised our full year guidance. The numbers we are reviewing today are fully in line with the preliminary figures we discussed at our conference call on September 8. Since we have already covered much of this ground in our earlier call, I will try to make my prepared comments brief today so that we can spend more time on your questions. Let me start with a broad overview of the quarter. Raw material costs, which have been a headwind for us the entire year headwind for us the entire year, increased farther in a rapid and unpredictable way and significantly more than we expected. As a result, our pricing actions, although improved, were not enough to offset the increased costs. While our resulting financial performance was disappointing, we believe the situation we faced in the third quarter was extraordinary and expect the cost versus price relationship to be more manageable as we go forward. We have already accelerated our pricing actions and believe we will fully recover our raw material cost increases in the quarters ahead. Despite the challenges we faced during the third quarter, we continued to make progress on a number of fronts. Let me share some of these highlights with you. First, our organic sales trend continued to improve despite ongoing weaknesses in many of our end markets, and we expect this trend to continue to improve in the fourth quarter, ultimately leading us to a return to positive organic growth. Second, significant pricing actions were taken. These actions raised average selling price by 2.6% year-over-year, nearly three times the increase achieved in the second quarter. Third, SG&A expense controls and continued scrutiny of discretionary spending drove SG&A down year-over-year in both absolute and percentage terms. Fourth, we reduced our net working capital position by 60 basis points versus the second quarter, further strengthening our already solid balance sheet. Fifth, we made significant enhancements to our leadership team with the addition of Jim Owens as Senior Vice President and Head of North America and the recent announcement that Barry Snyder would be joining us as our new Chief Technology Officer. Both are experienced leaders who are knowledgeable of the markets we serve, and each possesses unique growth capabilities. Last but not least, we continue to invest in expanding our geographic presence with the acquisition of Egymelt in Egypt. Now let me review our scorecard for the quarter and the year-to-date relative to our long-term financial goals. As I mentioned in my opening comments, the top line trends continue to improve in the third quarter. Net revenue was up 3%, driven by favorable foreign currency translation. Organic sales, while down slightly, are heading in the right direction. Volume declines eased and pricing momentum continued. As a result, we believe that we will be on target to return to positive organic growth in the fourth quarter as we planned from the beginning of the year. With respect to EBITDA margin, the raw material situation led to a deterioration of 390 basis points year-over-year. Operating costs were reduced by 130 basis points, partially mitigating the lower gross profit margin. ROGI declined 50 basis points versus the second quarter. The decline was primarily due to the reduction in EBITDA. However, cross-investment improved during the quarter, due in part to reductions in net working capital. Our last metric, EPS growth from continuing operations, while flat on a reported basis, was negative when the one-time tax benefit is excluded. In our pre-release on September 8, we provided a view on our fourth quarter, so we now have our first look at the full year. In the fourth quarter, we are expecting net revenue growth for the third consecutive quarter. We expect net revenue of between $380 and $390 million or about 5% to 8% above last year. We are expecting to post organic sales growth in the fourth quarter for the first time since 2006. Organic sales growth in Q4 will be driven by several factors, including acceleration in pricing actions, new business wins, and easier volume comparisons. The fact that our ARPU for net and organic revenue growth are similar indicates that we are expecting significantly less foreign exchange translation benefit in the fourth quarter. Of course, the key metric that has impacted our performance this year is gross margin. We have suffered a significant drop in sequential margin percentage in the first three quarters of the year. Based on our current view of raw material costs and our pricing actions, we expect our gross margin to be higher in the fourth quarter than in the third quarter. Clearly, the rebuilding of our gross margin must accelerate in the first half of 2009. Finally, we expect our EBITDA margin to improve in the fourth quarter as we plan to continue our tight controls on discretionary spending through the end of the fiscal year and we spread our operating expenses over a higher revenue base. In summary, gross margin pressure has been the headline for this year, but our ability to maintain positive momentum on revenue and manage our EBITDA margins through cost controls have been the bright spots in an otherwise difficult year. I think you are all aware of the general story around raw material costs in our industry since we discussed this situation at length in our recent conference call, so let me just restate some numbers today and make a few comments on our forward outlook for raw materials. Our raw material costs were up approximately 7% sequentially and 17% year-over-year in the third quarter. For the full year we anticipate raw material costs will be up between 16% and 18%. These equate to approximately $75 million in additional expenses in 2008 for H.B. Fuller. To put this in perspective, that is more than 50% of our operating income in 2007. So, what do we expect for the future? For the time being, our raw material costs remain at high levels. In fact, we are planning for additional cost increases in the fourth quarter. Also, some key raw materials remain in tight supply and this situation has worsened in the aftermath of the recent hurricane in the Gulf of Mexico. Clearly, our competitors are dealing with these same market dynamics and this is reflected in the traction that price increases are getting in the adhesives marketplace. Based on historical patterns, we expect our raw material costs to generally track the cost of oil and natural gas. However, in the short term, there is typically a lag between reductions in the cost of crude oil and any meaningful reduction in the cost of the byproducts we consume. Our plan is this: We're going to work hard on the sourcing side to achieve the best possible terms from our suppliers. We're going to continue to re-price our product to reflect the current higher cost of raw materials. And wherever possible, we will reformulate our products to best utilize the available raw materials given the new cost and availability environment. We believe by doing all of these things well we will achieve good operating performance in future quarters regardless of the future trends [inaudible] costs. Now let me switch gears and speak of happier topics. While dealing with our short-term challenges, we have not neglected the need to invest for long-term growth according to our five-year strategic plan. In fact, quite the opposite is true. We have accelerated our investments, focused on the top line. We recently announced the acquisition of Egymelt in Cairo, Egypt. Egymelt specializes in hot melt and specialty water-based technologies. This acquisition will serve as our platform for growth in the Middle East and North Africa, one of the fastest-growing regions in the world. It will also enable us to better serve our multi-national accounts. Accordingly, we intend to invest even further in this region to add additional capacity and capability in the quarters ahead. Regarding the investments we made earlier this year, all are progressing according to plan. In China, the technology center is currently in the build-out phase and we expect to be fully stocked an operational by year end. We are currently evaluating sites in the Shanghai area for our new manufacturing facility, and we expect to make a final decision before the end of the fourth quarter of this year. Construction will begin in early 2009 and production should commence in January of 2010. In Latin America, the investments we made on the customer-facing side of the business continue to fuel strong organic growth. Likewise, we have begun to see strong results from our current additions to the sales and marketing organizations and investments in technology and expect the momentum to build as we continue to augment our customer-facing resources. Our technology initiatives just received a boost last week when we announced that a new Chief Technology Officer will join us at H.B. Fuller. Combined, these investments demonstrate our commitment to expand our geographic presence and to position the company for profitable organic growth. We anticipate investing in additional opportunities in 2009. These organic and external investments will focus on expanding our global footprint and strengthening our capabilities in target market segments and technologies, while keeping our options open for pursuing industry consolidating acquisitions. Now let me provide a brief regional review of the business. All regions share one trend in the third quarter - all of them experienced margin compression due to the rapid raw material cost inflation. Let me highlight for you the other important developments in each region. In North America, the macroeconomic situation is little changed from that of the prior quarter. Construction continues to be the weakest end market and recessionary concerns have not abated. While the region's net revenue declined, the organic sales strength continued to improve despite the challenging end market conditions. This strength is expected to continue. In fact, we expect new business gains, together with price increases and easier comps, to lead to positive organic growth in the fourth quarter. Recent hurricane activity has led to even tighter supply conditions for several of our raw materials. In fact, we are currently on allocation for several raw materials. This tight supply situation is expected to continue for at least the next few months. For now we believe that this supply disruption can be managed without any meaningful loss of volume. Europe, we have struggled somehow in this region this year, with year-to-date organic revenue 7.1% below last year. Our volume has been impacted by a variety of end market, competitive and internal issues that have created erosion that has outweighed the benefit of new business. With that said, organic revenue development was somehow improved in the third quarter, and we expect flat revenue growth in the fourth quarter of this year due to new business, a modest acceleration of pricing actions, and easier comparisons. In Latin America, top line performance was strong. The third quarter pricing actions in the region were the most aggressive of our four regions, with average selling price up nearly 7% year-over-year. Organic revenue growth in the region was a solid 6.7% in the third quarter. Our adhesives business was flat while the paints business posted a 15% increase. We expect organic growth in both adhesives and paint in the fourth quarter. The aforementioned price increases were not enough, though, to offset the rapid and unpredictable escalation in raw material costs that significantly affected profitability in the region. Asia-Pacific was, again, the strongest performing region in the third quarter from both a top line and bottom line perspective. With double-digit organic growth driven by new business wins plus positive currency translation, the region grew net revenue by more than 17% year-over-year. Investments in the region continue to accelerate as part of our continued commitment to the growth of this region. Organic growth is a key metric for us, and we provide quite a few statistics in our various disclosures. Slide 12 that you have here in front of you compiles the data that we have previously disclosed in a format that shows trends over the past five quarters as well as our current outlook for the last quarter of this year. As you can see, our Asia and Latin America regions have been generating positive organic sales growth for the entire 2008 fiscal year. The North America and Europe regions have been in negative territory all year, with the third quarter generating the best results so far and positive improvements expected in the fourth quarter. All of these trends are supported by new business [inaudible], significant pricing actions and lapping more difficult comparisons. All of these trends are in line with our guidance and the expectations we communicated before the start of this year. We are pleased that we have preserved these positive trends in spite of this year's difficult market conditions. As far as our current expectations for fiscal year 2008 are concerned, in line with the new guidance we presented on September 8th, I think everyone understands that this is a difficult time to make forecasts since dramatic events seem to be unfolding every day now. With that said, we are confident in this outlook and the entire organization is working towards these goals. Before concluding, let me share with our first view of 2009. From an economic standpoint, we expect the global economy to remain weak, with the United States and Europe remaining the weakest. The possibility of a recession remains a risk. Regarding construction in North America, we do not expect to see any improvement, but we also do not anticipate at this point any further significant sequential declines from current levels. On the new business front, we expect the investments we made in talent at H.B. Fuller, which were made in 2008 and which we continue to make today, to lead to incremental sales and help enhance the growth profile of the company in spite of the environment. Likewise, we will continue to focus on geographic expansion and innovation to drive profitable organic growth. We are planning a number of organic and external initiatives and we expect to execute on a number of them in 2009. The rate of raw material cost inflation should moderate starting in 2009, but we continue to expect raw material costs to increase further over 2008. While the raw material market is expected to return to a more stable environment, we target to improve the effectiveness of our pricing actions. As a result, we expect to fully recapture all of the 2008 raw material cost increases on a dollar basis. Gross margin percentage will also expand on a sequential basis. Thank you for your time, and now we would like to open the call for your questions.
Operator: (Operator Instructions) Your first question comes from Jeff Zekauskas - J.P. Morgan.
Jeff Zekauskas - J.P. Morgan: You talked about raw materials stepping up in the fourth quarter and being roughly 16% to 18% for the year, which is consistent with what you had in the third quarter. Can you remind me how much raw materials were up in the first half or what does that imply for your estimate of raw material cost inflation in the fourth quarter?
Michele Volpi: Well, right now - and the situation, Jeff, is very fluid, as you know, starting from oil but then going to all the by products - we expect the dynamic in the fourth quarter to go to a lower stress level, let's put it, as it compares to Q3. That means that we don't expect too much inflation. Clearly, in the first half of the year, we had mid to single digits and you've seen the spike in the third quarter. Now clearly, June 24th on our call, we expected 13% to 15% for the year. Clearly, after that, what has happened, we have moved that to 16% to 18%. Clearly, the third quarter is what we have seen being the worst so far, coupled also with a lot of raw material availability issues.
Jeff Zekauskas - J.P. Morgan: So if I understand what you said to me, Michele, you expect raw materials - and this is my recollection from the previous conference call - you expect raw materials to be up, I don't know, 22% or 25% in the fourth quarter. Is that right?
Michele Volpi: On a year-over-year basis, we are somehow in that number, yes.
Jeff Zekauskas - J.P. Morgan: My second question is: When you look at your pricing, I know you have such good accounting systems, and say you looked at it by month. In the previous quarter, I think your prices were up something like 0.9% or 0.8%. And this time you were up, you know, way over 2% or 2.6%. So in the last month of the quarter, how much were your prices up or as you go into the new fourth quarter, how much are your average prices up?
Michele Volpi: Well, consistent with the wording we have used, we are continuously accelerating. So you can expect that towards the end of the quarter is higher than the average. I would say that the biggest impact of price increases is expected in the fourth quarter. That's the main acceleration that we have planned for, taking into account, Jeff, that we are working in a very collaborative manner with our customers to make sure that our long-term growth plans are not undermined. So we are recovering our margins in the fourth quarter, but we are doing that as judiciously as we can.
Operator: Your next question comes from Douglas Chudy - Keybanc Capital Markets.
Douglas Chudy - Keybanc Capital Markets: A couple of questions. First, you've done a pretty good job at managing your SG&A expenses over the past few quarters, but you have mentioned a need for some further investment in sales, marketing and technology. Should we expect to see a ramp up here over the next few quarters and, if so, can you maybe quantify the magnitude of that?
Michele Volpi: Well, overall I'm going to give a quality answer and then I will ask Jim to give the answer a bit more. Again, we clearly made a commitment to a five-year plan and we said that we were going to go for profitable growth. And it is clear that we are executing on that strategy. We are committed to it and it requires, also, investments. Again, we have always spoken of investments and not really of spending. You've seen how careful we are, especially in the current environment. We're going to continue that way. But it's clear that some front line initiatives and some talent initiatives need some spending, so overall, as far as 2009 is concerned, you can expect our investments to continue to accelerate. Jim, do you want to add something?
James R. Giertz: I think the only thing I'd add, I think specifically in the fourth quarter I would expect our SG&A to be up slightly from Q3. That's what we can see right now. And then, again, for 2009, the absolute SG&A spending will be higher. We haven't finished our planning exercises yet, so I'm not sure that it'll necessarily be higher on a percentage of sales basis, but certainly the absolute dollar amount of SG&A spending will be higher based on the factors that Michele just mentioned.
Douglas Chudy - Keybanc Capital Markets: I guess secondly, as far as raw materials, have you made any internal changes to your forecasting tools? It seems like you did underestimate it through the first three quarters. Have there been any concrete changes you've made or is it more or less just execution there?
Michele Volpi: Well, for sure we have started putting more emphasis on trend analysis in order to start making even more bets moving forward. That is something where we have to get better and we have started initiatives around that. But clearly, since this is cyclical and repeats itself over and over, the best way for success is quick reaction on the pricing front and to work continuously on customer profitability and not wait all the time for raw material increases, and doing that together with the customers so that you limit your volume erosion. That's the secret for success long-term and that's what we are working on.
Douglas Chudy - Keybanc Capital Markets: Just one final question. Have you seen any noticeable shifts in customer demand to more commodity type offerings due to the soft economic environment? You know, has there been any switching that could potentially apply downward pressure on your mix going forward?
Michele Volpi: Well, we have seen some of that, but we have also seen customers coming back because they realize that adhesives are not a commodity, that there is a lot of tailor-made needs. There is a lot of service needs, and that's what we're good at. And that is what I would say you see in the trend reversal on the organic growth in spite of a market that actually has been going in the opposite direction. So we stick to what we said and that's our message on long-term value, and we're going to do what is right both short and long-term for this business.
Operator: Your next question comes from Jason Weiner - Deutsche Bank.
Jason Weiner - Deutsche Bank: Just in addition to the organic growth, volume trends look like they're improving to some degree, so I'm wondering when do you think you might - this is sort of hazard a guess - but pass over into positive volume growth?
Michele Volpi: Well, I agree with you. Volume declines have been easing. At the beginning of the year, you remember, we were at minus 8%. Now we are minus 4.6%. Still negative, but we expect to get better in fourth quarter. I wouldn't get as far as to say that we will get to flat volume compatibles. We will still be in the negative, but less than in the third quarter. Our target is to get positive volume growth next year.
Jason Weiner - Deutsche Bank: And then if you look at North America and Europe in the context of some of these volume shifts, can you just talk about what may be happening with market share? Are others, I mean, are you shrinking with the market or are there issues with some share loss as people cut price? And sorry, if I could just append on that, maybe it ties in with a little elaboration on the competitive challenges in Europe you mentioned.
Michele Volpi: Well, I think in North America we had also some extraordinary share losses, specifically in the Roanoke side of our construction side. So that's already one answer. At the same time, clearly when you look at our window business and our specialty construction business in North America and some of our woodworking and appliances business and the adhesives business all tied to construction, we all know the trend. So there I think that our teams in relative tense have been doing an excellent job. And we have been holding or in some cases even gaining a bit of market share in some areas. I expect that to improve modestly in the quarters ahead because of the strategy, the additions of talent in the organization. So I think that in spite of a tough environment in North America, we are all going to do a good job next year, both from a volume and an organic growth perspective. As far as Europe is concerned, I think there is a lot of work that we still need to do. Clearly we saw something somehow improving third quarter. We expect that to continue in the fourth quarter. But clearly Europe is getting closer to North America as far as macroeconomic trends. Before it started with the U.K. and Spain it was mainly in construction, and now we see it is propagating to the rest of the overall industrial output in Europe. So we hear a lot of pessimism, specifically in Western Europe, and we have to be prepared for that to still deliver on our results in spite of an economy that is going to get closer to the U.S. trends.
Operator: Your next question comes from Tutra Sudrum - Cardinal Capital.
Tutra Sudrum - Cardinal Capital: Quite a few questions, and I'll try to be quick. The first is on your - so when you said it was going to be flat, is that flat in terms of revenue dollars year-over-year or sequentially?
Michele Volpi: Okay, let me see, Tutra, if I understood. As far as fourth quarter or 2009?
Tutra Sudrum - Cardinal Capital: Yes, sorry. You were talking about the fourth quarter, I believe, and I think you said it was going to be flat and I just wasn't clear what that flat was, if it was dollars or -
Michele Volpi: Well, what we expect for the fourth quarter is organic growth to be between 4% and 7% positive. Overall review growth, including currency exchange, to be between 5% and 8%. Still we expect volumes to be negative, even if less negative than third quarter. That's for the overall company. As far as Europe, we expect it to be, from a revenue standpoint - that means including currency flat year-over-year in the fourth quarter.
Tutra Sudrum - Cardinal Capital: Just staying on Europe, then, given the weakness that seems to be developing in Europe and your guidance of where you all would like to end up on the revenue standpoint, it seems like pricing and you said this was really the crux of the [inaudible] seems to be pricing. And the pricing that you'll have to get in the fourth quarter, given the underperformance in the earlier part of the year, is somewhere in the low double digits, it seems like. What can you all tell us from a fleshing out perspective that would help us get more comfortable that you'll have traction, if I am right and it's got to be somewhere in the low double digits.
Michele Volpi: Well, to get traction, the first thing that I can tell you is that everybody's raising prices because everybody has understood that there is not a lot of room when you have 15%, 20%, 25% raw material increases and, on top of that, raw materials not available. So we have seen lately our competitors also raising prices, so there is more rationality in the marketplace. At the same time, we are making sure in an environment that actually is having some concerns as far as the demand to work with the accounts on the overall cost to serve economics. So we're not just working on the pricing raw material equation, but looking at the pattern of the orders, working together on the formulations. I'm pretty pleased with the momentum that I've seen there, and I see a greater focus from an organizational standpoint on the market segments we are pursuing. Also, I've seen some pretty good steps in terms of new product introductions on the high-margin side, on the differentiated side, so that is what tells me that in 2009 overall as a company and also in Europe we're going to be able to deliver in spite of a difficult environment.
Tutra Sudrum - Cardinal Capital: And I'm assuming that the new head of sales is sort of broken in now? He's kind of comfortable with setting the agenda? Can you talk maybe a little bit about - I'm sorry, not new head of sales, I'm thinking new head of Americas.
Michele Volpi: Yes, I can tell you that Jim Owens joined our team recently, so he has, I think, less than one month under his belt, but clearly has more than 20 years of experience in business, is a very strong commercial person, is a great leader. And I've already seen him energizing the entire team in North America. I think he's a great addition to our executive committee team, not just North America. And he will get all of my support and the support of the CE to make sure that 2009 is going to be a first great year for him in the company.
Tutra Sudrum - Cardinal Capital: And then lastly, on the pricing issue, so if you're expecting additional raw material increases in '09 over the 16% to 18%, hopefully, you know, it will be more sort of in an historical trend line, the fact that I think you were saying that you would make up the gross margins that were lost in '08, does that mean that we will still remain behind the curve because you would have made up '08 but you're not completely sure you'll be able to make up '09 or is the goal - when do you all expect to catch up, in other words, to '08 plus '09?
Michele Volpi: Well, you know, I've seen this situation. It's actually [inaudible], I mean. But only one month ago everybody was saying well, what are you going to do with pricing since oil is going to go down below $90, and a few days ago we were back at $120. So I think we have to be very, very cautious. We are still in the middle of the planning session, as Jim said. We're monitoring this very closely. But one thing is clear. Gross margin percentage is going to increase sequentially versus our current point, but right now we're at 25%. So clearly it will go up. As far as the speed and where we will get it, we will have to be more clear in the months ahead, in the next conference call. Clearly, you can expect the gross margin to improve. The point is how much and by when. We're working on it. The expectation is that we're going to recover all of 2008 and all of 2009 raw material increases, but to get into gross margin recovery is something that we're working on together with the teams to make sure that it still enables us to deliver on the long-term strategy.
Tutra Sudrum - Cardinal Capital: And just a couple of housekeeping, if I could. Unless I missed it, Jim, would you be able to give us what the D&A, Capex, cash flow from operations and the free cash flow was for Q3?
James R. Giertz: Yes, just one second while I move to it. Let's see. Free cash flow from operations was - cash flow from operations was $22 million in Q3. That's the first part of your question. Capex? Capex was $5.5 million.
Tutra Sudrum - Cardinal Capital: D&A? Oh, I'm sorry. You gave D&A, sorry, in the press release.
James R. Giertz: That should be in our press release.
Tutra Sudrum - Cardinal Capital: Yeah. Yeah, it is. It is. Sorry.
James R. Giertz: That's what you need then?
Tutra Sudrum - Cardinal Capital: Thank you. That's it. Thank you so much.
Operator: Your next question comes from Christopher Butler - Sidoti & Company LLC.
Christopher Butler - Sidoti & Company LLC: Just wondering, following up on your comments on oil, what assumption do you have for oil for the fourth quarter that underlies the 22% to 25% increase in cost that you had mentioned earlier in the call?
Michele Volpi: Well, you know, right now we are working on the assumption that it's going to start stabilizing more. And everybody thought it was going to stabilize or go a bit down, then we've seen it spike again. So I think we have to look at several things happening in Washington to see what is going to be the reflection. Take into account, anyway, Chris, that our raw materials, even if long-term they are tied to oil, the lag is consistent. We have byproducts, so I can take 5 to 6 months to see if there was a meaningful reduction, which we don't see yet, to impact our ledger.
Christopher Butler - Sidoti & Company LLC: I guess what I was trying to get at there is if we find that oil stabilizes at $130 to $140, would that mean greater than the 22% to 25% looking into 2009? Where's a general line that we can look at there?
Michele Volpi: Well, right now, at this point in time, as I told you, we're still in the middle of the planning. But right now we are more looking at a more stable environment for raw materials. Clearly, when we will get closer to the fourth quarter guidance we will have more data and I guess we will be more accurate, or, let's say, we will try to be more accurate.
Christopher Butler - Sidoti & Company LLC: And touching on your comments about confidence in getting price increases through, you had mentioned market segments. Could you give us an idea of regions of the world or product lines that have proven to be more or less receptive to price increases that you've seen so far?
Michele Volpi: Well, right now we see on general terms price increases sticking. Everybody's raising prices aggressively, also because in many cases there is limited availability. So it's not that there are lots of options, unfortunately, neither for us nor for our customers. So clearly that is a trend that is happening everywhere. From North America to Asia, Latin America and Europe, our teams are working diligently to make sure that we get it, but that we can get to a successful agreement with our customers. But overall, there is no region of the world that has a total different trend from a macroeconomic or competitive standpoint. Then it goes back to our intent on execution ability.
Christopher Butler - Sidoti & Company LLC: And finally, is it too soon to be looking at the Roman Haus as increasing competition for you and what kind of impact on business and specifically pricing are you looking at and when to you think that's going to really start to have an effect?
Michele Volpi: Well, I think that Dow itself is still trying to understand what pieces of the business they want to keep, they want to focus on. So we, I think, all need to get clarity around that. And I don't know if I can comment on that right now.
Operator: Your next question comes from Dmitry Silversteyn - Longbow Research.
Dmitry Silversteyn - Longbow Research: A couple of questions - a lot of mine have been answered - but I'd just like to understand a little bit more about your expectations of improving year-over-year growth, organic growth [inaudible] on the top line. You talked about organic growth improving in the third quarter versus the second quarter, driven in part by new business. Can you talk about, you know, a little more detail on what new business and which geographies or which product lines or who you are getting this business from? And also, in terms of the improvements you're looking for for the fourth quarter given that, as you said yourself, Europe is deteriorating, America's not getting much better, is it a question of year-over-year comps getting easier, new business picking up steam? Obviously, pricing is going to be an impact in there. Can you just talk about those dynamics a little bit?
Michele Volpi: Well, for sure already starting fourth quarter we see easier comps, we see the comps, specifically North America, and a lot of that is related to the Roanoke business. But at the same time, clearly we see the acceleration of price increases and we see also the acceleration of new business. The new business we are getting, a lot of it is in specification-related things, in many cases, a new application, so there is not even competition there. But overall, we see that our greater focus on the packaging, specialty wood, [non-woven] areas [inaudible] is starting to pay back. We see very, very good [inaudible] there, both customer related and new product related, so that is what is giving us strength. Even in Asia-Pacific, our growth, a lot of that is into some of the programs that make us unique and in many cases is not a direct share shift from reactive hot melt to reactive hot melt or hot melt to hot melt, but in many cases it's urea formaldehyde to reactive hot melt or water-based to reactive hot melt. That's part of our strategy and what we are executing on.
Dmitry Silversteyn - Longbow Research: And if I did my math correctly, there's $75 million in raw material cost increases that you think you'll experience for 2008. Roughly speaking, that's about a 5% of 2007 revenue, so you need about a 2.5% to 3% increase in pricing to recover the dollars, which is what you're hoping to do in 2009. But it sounds like recovery in margin in terms of start posting year-over-year positive gross margins is probably going to have to wait until 2010. Is that a right way of thinking about it?
Michele Volpi: Can you repeat the question, because I don't think I -
Dmitry Silversteyn - Longbow Research: I just want to make sure that I understand that when you talk about price recovery in terms of gross profit you're talking about recovering the dollars. But in a sense that would mean, at least, that your margin would still be comping down in 2009 year-over-year and it'll have to be 2010, assuming everything else stays the same, that you're going to actually start having positive year-over-year gross margin comps.
Michele Volpi: Yes. And Dmitry, I mean, that's a pretty good way of putting it. We are working on pricing, as I said. The gross margin is going to get sequentially better in 2009, but as far as where is it going to stop, it's still too soon to call. Clearly, there are challenges because of the lag in recovery of some of the things that happened in the first half of '08, so it's going to take some time. We are working on it, and we will be more specific in the fourth quarter. Jim, do you want to add something?
James R. Giertz: No, I think that's fine.
Dmitry Silversteyn - Longbow Research: And then the final question, if I may, the Henkel-ICI deal or the [inaudible] National Starch deal now had a chance to be in the market for a few months. Are you seeing any changes in dynamic in behavior dynamics as far as competition is concerned? Are you picking up any customers that are dissatisfied with one or the other of the parties merging? In other words, is this being a positive for you or is it too soon to tell or is it being a negative?
Michele Volpi: Well, I think that what we share with Henkel, National and all the other competitors is an effort to procure raw materials, to try to mitigate the raw material increases, to try to get price increases in the marketplace, and I think that, while we share that, they have an additional challenge of their own, which is getting the integration going, like Dow will get with Roman Haus, and we are instead more focused in investing for the future and delivering on our five-year plan.
Dmitry Silversteyn - Longbow Research: But you're not seeing any changes in the competitive environment yet that would be of benefit of detriment to you?
Michele Volpi: I think everybody's so busy in getting the price increases and working on the raw materials that I think it's good for the industry that everybody, both the locals, the regionals and the multinationals, are putting some rationality in place.
Operator: Your next question comes from Steven Schwartz - First Analysis.
Steven Schwartz - First Analysis: Michele, do you see a regional difference in the cost of your raw's inflation or is it pretty well consistent across all the region? I think in the past you'd mentioned Asia sometimes didn't see the same level.
Michele Volpi: Well, it is clear that Asia has been an extremely competitive market and that has reflected somehow to lower inflation. But it is clear that now they're also catching up. Raw material availability issues are there everywhere, in every part of the world. Currency exchanges are adding additional risk. So we see inflation also there and that's why we are also increasing the prices there as well. Clearly, it's less marked than the other regions and, you know, if you compare to North America, they are at opposite parts of that range.
Steven Schwartz - First Analysis: In Asia, sequentially it looks like your organic growth went sideways a bit. You've got it recovering, again - or not necessarily recovering but improving even more - in the fourth quarter. What was the reason behind the softness in the third quarter?
Michele Volpi: Well, you have to take into account also year-over-year comparables of things that happened in the third quarter of last year. This is more internal stuff and sometimes it's a shift from one quarter to the other, where you can have positive or negative extraordinary unusuals. What I would say is Asia-Pacific is on track. It's doing a great job. We keep investing, not just the China lab, not just the China reactive hot melt plant, but we are adding people in SG&A. It's the right way to fuel the growth. We are raising prices. We are focusing on the right mix of products and services. And we are doing what this company has not done for [30] years and clearly it cost some money, but we are committed to it and we believe that it's going to be a very, very good return.
Steven Schwartz - First Analysis: But the organic growth, then, in the third quarter, no impact from the Olympics and the shutdown in manufacturing there, that wasn't behind that? And obviously I think it's perhaps the view by some is bipolar on Asia, China in particular. Some say it's soft and some say there's a post-Olympic recovery. You guys obviously are thinking that China picks back up again?
Michele Volpi: Well, China, I think, is - [can't] slow down as an economy, but what I can tell you is that we have such a low market share that we should stay more focused on internal controllables rather than on what the market does, and that's what we are doing.
Steven Schwartz - First Analysis: And just one last one on Egymelt, you know, $4 million in revenue. With synergies and so forth in the next four quarters, how much do you think you can add to that revenue growth there?
Michele Volpi: Well, actually that's I would say the main reason why we bought it. We had several options to getting in that fast-growing region and this was the fastest. We think we've got a pretty good setup there with a pretty good team. And we are already investing to increase our manufacturing capabilities and our talent capabilities. And, you know, we are already working with accounts to get the synergies, mainly commercial synergies, impacting our ledger. So that's actually something we are very, very proud of, and I guess in the future you're going to see more of this.
Operator: Your next question comes from Rosemarie Morbelli - Ingalls & Snyder.
Rosemarie Morbelli - Ingalls & Snyder: Michele, could you give us an idea as to the percentage your products represent of your total revenues in '08 versus '07 and what your expectations are for '09 since you seem to be making progress in introductions?
Michele Volpi: Yes, we are always in the same range of 20% to 25%. It's not been moving a lot. What has been moving has been the mix during the year. In some areas, like performance products like the epoxies, the reactive hot melts, we are doing an excellent job of bringing in two new products at a high gross margin, specification related. In the second quarter and [inaudible] quarter for more of the core products, the water based and the hot melt, a lot of effort, a lot of time our teams have devoted to reformulating and being able to find a solution to lack of raw material availability. If raw materials stabilize, I think we should see an acceleration next year also on the core products as far as two products and new platforms are concerned. That should be also further accelerated by the new entry of Barry Snyder as Chief Technology Officer. Remember, we never had that position for at least the last 10 - 12 years, they told me, and that's a pretty big commitment and you can expect this guy to have an impact, re-energize and re-boost our innovation [inaudible].
Rosemarie Morbelli - Ingalls & Snyder: And so do you think that in '09 with the additional boosts you could go above the 25%? Do you have I don't remember if you have a five-year goal for those particular products versus a total.
Michele Volpi: Well, what I would - yes, for sure we have the focus on getting on a stable manner to that 25%. I think key is the quality of those new products, that they are more profitable, they are move innovative, and that they are a product that stick longer so that you can really secure new business in that direction. And also what I expect is lots of those new products to help us get into some of the new market segments that we are targeting because the growth is both in getting to the new geographies and also in getting into some of these new market segments, not just delivering on the core.
Rosemarie Morbelli - Ingalls & Snyder: And could you also give us an update on Roanoke?
Michele Volpi: Yes. I think that we can speak, starting to speak positively about Roanoke. The team has dealt with what they inherited from the past, which was really difficult, has been able to deal with a difficult construction environment. They've put several products in place, and I think they are faring better. And clearly, also helped with some easier comparables, they have positioned themselves well for 2009 in spite of the economy.
Rosemarie Morbelli - Ingalls & Snyder: So do you think that they will have a positive performance in '09 regardless of what happens to the construction world?
Michele Volpi: Yes, better than 2008. But let's be very fair and very clear - a lot of that is also due to comparables that for the first three quarters of this year were extremely negative.
Rosemarie Morbelli - Ingalls & Snyder: And then if I could ask another question, you said, if my memory serves me right - and that was in the previous conference call - that you had not aggressively pushed price increases during the second quarter, and yet my understanding was that a couple of years ago Fuller had really changed the way it did business and was really pushing increases aggressively and had [inaudible] cost increases. So what is the change? Did you have a change of focus in the second quarter? Did you find that by being as aggressive as you were, well when demand in the marketplace was good it was a good thing to do but now that demand has slowed it may not be you may need to change your position? Can you help me understand how you are operating?
Michele Volpi: Yes. Well, the big difference is that in 2005 we had an economy that was going pretty well. Demand was going up. And that is a totally different environment to do price increases substantially and quickly versus an environment where people are concerned about keeping their jobs and keeping the factories open. So today we are facing a lack of raw material availability, inflation like we have not even seen in 2005 coupled with very, very low demand, and that makes it more difficult. I am not saying that we haven't really done all that we could in the first half and I explained my disappointment with that. But the big difference is that in 2005 the economy was growing and today, unfortunately, it's doing far worse.
Rosemarie Morbelli - Ingalls & Snyder: So what makes you think that you are going to be successful in getting all of those cost increases?
Michele Volpi: Well, it's the belief in the five-year plan that we announced one year ago. We started changing lots of things, from programs to product to focus to organization. And clearly, it takes some time to start generating results, but you already see from some trends that it's starting to produce changes in trends on the organic growth perspective. You see that we are recovering on pricing. And we are doing all the right things in terms of portfolio management, in terms of geographic footprint. And that's what gives us the confidence.
Rosemarie Morbelli - Ingalls & Snyder: And to go back to Dmitry's question, lately - I mean lastly - on the gross margin recovery, Dmitry said 2010, maybe it is 2011, but what is the goal, to get back to the 28.4% gross margin in '06 or do you think that you can get back to the 29.3% that you experienced in '07?
Michele Volpi: Look, first of all, our commitment to each one of you in that room at our headquarters in October was to stay focused on our four metrics - organic growth, EBITDA margin, ROGI, and EPS growth. And we stick to that commitment. Gross margin clearly is an indicator, specifically [inaudible] the price and raw material equations, but we need to take into account the volume variable as well, and that's why we wanted to work on ROGI and also keeping in mind the asset base. So I would not like to get right now into a discussion on gross margin being again the metric that we put in the pot because we changed that and there was a clear rationale that we explained in October of last year. With that said, as I say, based on what I see now - and we're in the middle of the planning gross margin percentage in '09 is going to increase sequentially. When we will get to that 29% or 30%, I don't know. The goal for us is to get to a ROGI of 10%, 12% by 2012, as outlined. So we're going to manage pricing. We're going to manage raw materials. We're going to manage mix. We're going to manage volume.
Operator: Your last question due to time constraints comes from Jeff Zekauskas - J.P. Morgan.
Jeff Zekauskas - J.P. Morgan: Just two questions for clarification. Did you say that cash flow from operations was $22 million in the quarter?
James R. Giertz: Yes.
Jeff Zekauskas - J.P. Morgan: How is that possible?
James R. Giertz: Because if your net income was, you know, order of magnitude, 22, and your D&A was, you know, maybe 11.5, and there wasn't much change in working capital, at least as I see it.
Jeff Zekauskas - J.P. Morgan: How do you get to $22?
James R. Giertz: Yes, a couple of things, Jeff. First of all, obviously - well, in our net income number we have $4.4 million of tax benefit that's not cash, so that's one of the factors. And then if you, once you look at the details of our balance sheet, basically whereas our inventory receivables and payables were actually - I think that was pretty much a neutral factor in cash flow in Q3. It's all the other items in current accounts - or current assets and current liabilities - that went negative on us. So things like taxes payable, compensation accruals and things like that were a negative cash flow item for us in Q3.
Jeff Zekauskas - J.P. Morgan: And then, Michele, you said that some of your raw materials were on allocation. Which raw materials are on allocation?
Michele Volpi: Well, I would say that we have had significant issues related with the hurricanes, and clearly [waxes] have been, I would say, pretty weak and not available since the beginning of the year. Right now what is pretty tight is [inaudible] rubber, styrene block of polymers, [inaudible] fine resins, there is a long list that in our dashboard is coded with a red color and we have everybody in sourcing but also in sales working with some [inaudible] customers to make sure that we mitigate this. And I have to say, the guys are doing an excellent job given the environment.
Jeff Zekauskas - J.P. Morgan: So I guess that's why you're optimistic about raw materials next year, because you've got some squeeze conditions that presumably should go away?
Michele Volpi: Well, you know, it's always in relative terms, Jeff. I'm not including shocks, right, because if there is another hurricane or there is something else, that is uncontrolled. So give me two months to finish the planning season here at H.B. Fuller and we will be able to be a bit more concrete in our expectations for 2009.
Operator: Thank you, ladies and gentlemen. This does conclude today's H.B. Fuller third quarter 2008 investor conference call. You may now disconnect.